Operator: Greetings and welcome to the Uranium Resources Incorporated third quarter 2011 quarterly update conference call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). It is now my pleasure to introduce your host, Ms. Deborah Pawlowski, Investor Relations for Uranium Resources Incorporated. Thank you Ms. Pawlowski; you may begin.
Deborah Pawlowski: Thank you Jackie and good morning everyone. We appreciate your time today and your interest in Uranium Resources. On the call I have President and CEO, Don Ewigleben, who will discuss the quarter and recent events, as well as our strategy and outlook as we move forward. We also have Tom Ehrlich, Chief Financial Officer who will discuss our liquidity position with Van Horn, Senior Vice President of Operations and Exploration; as well as Mark Pelizza, our Senior Vice President of Environmental Safety and Public Affairs who’ll be available as well for Q&A. I will conclude the call with an opportunity for the Q&A. If you don't have today's release, it can be found on our website at uraniumresources.com. As you are aware, we may make some forward-looking statements during the formal presentation and the Q&A portion of this teleconference. Those statements apply to future events, which are subject to risks and uncertainties, as well as other factors that could cause the actual results to differ materially from where we are today. These factors are outlined in the news release, as well as the documents filed by the company with the Securities and Exchange Commission. You can find those on our website where we regularly post information about the company, as well as on the SEC's website at sec.gov. So please review our forward-looking statements in conjunction with these cautionary factors. With that, let me turn the call over to Don to begin the discussion. Don.
Don Ewigleben: Thank you Debbie and thanks to all of you that are joining us this morning and keeping your interest in URI, we appreciate it. I’d like to start today’s discussion with a bit of an industry overview and then move onto URI and our strategy to get to production in both New Mexico and Texas, while we are trying to enhance our uranium asset base through additional expiration and acquisition. Although the uranium market continues to be out of favor for the most part with investors, there are some early rumblings of increasing confidence developing that beings to re-embrace the opinion that many of us have on the long term outlook for nuclear power and the expected imbalance of uranium supply to meet the growing demand. The M&A activity in our industry has resurrected of late. It’s also good news in general to those of us who believe that this industry will survive the present pricing. However the near term situation still reflects the seriousness of the incident at Fukushima; it’s impact on the current nuclear powered market place and it’s resulting impact to the uranium thirst. This combined with the issues that uranium miners are facing with rising cost for equipment, difficulty in gaining personnel and generate a good capital are certainly making these times in our industry quite challenging, but I remain confident that the uranium industry will continue to rise to these challenges. Current consensus on pricing still has most believing that reaching $60 to $65 per pound per spot is all that should be expected for the next two years. The reported weekly stock price was $52.25 a week ago, but the daily broker price mid point end of the week was an encouragingly increased price of $53.50. Long-term contract prices dropped a bit to about $63. The current overhangs that had been weighing down the price which include the DOEs, sales of it’s inventory that have not been in line with it’s filed plans, as well as the inventory building in Japan and Germany from a shutdown of reactors there. We believe however that these are short-term phenomenon. As we discussed regularly, there still exist drivers for a supply demand imbalance, an overall support for an improvement in uranium prices. Let me recount a few of those. As we all know the Russian ACU contract comes to an end in 2013 and Russia has it’s own need for uranium to address it’s nuclear power plants. Efforts by the DOE to salvage inventories have come under pressure recently from the GAO, the General Accounting Office. The DOE will be updating their plan and this should help to remove that uncertainty from the market side. The products become more concentrated, making the market more vulnerable to disruptions if there are any problems with a particular supply force. With many of the major producers reducing their production guidance there are indications that supply could be tightening and lets just accept the fact that the likelihood of delays with certain mining projects expected in the next year are pretty good and that it’s possible will change the nature of pricing, because it is the nature of mining. World Nuclear Association is projecting demand from uranium to grow by 112% in the next 20 years, while production is expected to grow only to 69% and it’s estimated that production was about 28 million pounds short of demand for the requirements in 2010. Well given this backdrop, we believe we are advantaged with the significant assets we have developed and the talented people we have to do so. Lets turn from the macro to the micro with the look at our activities in Texas. We are nearing completion of Phase I of our three-phase expiration program in Kenedy County, Texas, also commonly known as the Los Finados project, rightly so named after the original Spanish land grants for that area. Let me give a background for folks that are new to the story. Our Los Finados project is comprised of 54,867 acres that we leased in Kenedy County under a three-year agreement that also includes an option to lease the acreage for uranium production. The exploration activity is being accomplished in a partnership with Cameco who is funding the joint venture project. On return for their investment, they can earn up to 70% property rights. The agreement also has a provision for us to provide coal milling when the project moves towards production, assuming of course it will be the finest efficient resources in our Greenfield expiration efforts.  The first phase of the drilling program began on June and is expected to be completed by the end of November. This phase of the exploratory core drilling was done using a widely and evenly spaced program, covering a grid designed to test the potential for uranium mineralization over this very large 54,000 plus acreage project. As of the end of October, we completed 16 holes averaging about 1,300 feet each for a total cost of approximately $900,000. As we mentioned on the last call, drilling conditions have not been ideal, so we did not get near as many holes drilled as we had planned. Nonetheless, we remain encouraged with the property’s potential and are currently in discussions with Cameco on the potential start date of Phase II work. While we have encountered interesting sandy conditions, we note that we’ve made improvements with every drill hole as we begin to understand this area better. Cameco does have 60 days from the completion of Phase I to opt into Phase II to earn an additional 10% interest. Doing so will require an additional $1.5 million investment on their part in the expiration program and we are in discussions with them now on that Phase II project. Lets not forget, we also have as part of this joint venture arrangement, the opportunity to earn into 40% of future projects in the State of Texas in a certain region and we look forward to working Cameco on this joint venture for many, many years to come. I’ll turn to Texas Reclamation Activities. We are building our record of successful restoration of ISR well fields and believe this helps to substantiate our capabilities for our efforts in New Mexico. From our past production activities, we have two restored production areas at Rosita, where we have provided to the Texas Commission on Environmental Quality or TCEQ, the results of our stability sampling in those areas. We expect that TCEQ will complete it’s review of those results and authorize final closure of these production areas, so that we can complete their final closure in the latter half of 2012. At Kingsville Dome, production areas one and two have achieved the levels required for restoration and restoration has been terminated so that these areas make into the required stability period for final sampling. Our near term plans do not call for a return to production in Texas, unless we see some real improvement in uranium prices. However, in 2012 we expect to initiate a project to process our holding ponds. This will provide capacity and prepare us for an innovational return to production in Texas. I’ll move to New Mexico. Our priority in New Mexico is on the completion of the feasibility study by the end of 2011, which will determine the options available to advance our Churchrock Crownpoint project and more specifically our Churchrock Section 8, which has 6.5 million pounds on in-place mineralized uranium material that falls under our NRC license and the underground injection control permit issued by the New Mexico Environmental Department or NMED. The study will also provide general direction for the rest of our New Mexico assets, including our conventional properties, where we expect further engineering work in the early part of 2012 to complete our analysis of those properties, that type of detailed engineering work is always necessary after a feasibility study to get to a construction and production phase. We can’t change the uranium-pricing environment. The thorough and complete analysis during this phase can focus capital investment requirements and control future operating costs. We’ve mentioned the cost for the total project are expected to be in a range of $30 million to $50 million and given rising costs, it could easily fall into the upper end of that range and this is a driving factor for our very deep guide on the various construction and design options for the processing facility. The study will be bankable as we move forward and enable us to consider all options and combinations for financing, including a potential debt facility. It does not need to be bankable if we don’t move forward for our debt facility, but we want to maintain all options. We’ll continue to monitor the equity market conditions, as well as joint venture opportunities to get this project built. We still plan for New Mexico production in 2013. Production will be dependant up on availability of financing, the speed of construction activities and access to required capital equipment. Of note, our Churchrock Section 8 will be the first uranium production in New Mexico in 20 years. Let me speak specifically about our license and permit setting. There still seem to be some confusion, every now and then we’ll get a question, so I’m going to be more specific. As to our NRC license from the Nuclear Regulatory Commission, the license was reactivated in mid October, which effectively allows for the production of up to 1 million pounds per year from Churchrock Section 8, until a successful commercial demonstration of restoration is made, after which mining on other properties can begin and the quantity of production can be increased to 3 million pounds per year. URI is the only uranium company in New Mexico that possesses an NRC license, authorizing current or new production. And of the 101.4 million pounds of in-place mineralized uranium material that we hold in New Mexico, 27.4 million pounds are amendable to in-situ recovery mining or ISR and they are covered under our NRC license. With the UIC permit, which is known as the Underground Injection Control permit, the New Mexico Environment Department, NMED, confirmed in June, that our permit is in timely renewal status. We’ve already submitted our renewal application. An additional documentation that required updating was submitted in April of this year. The NMED is currently conducting technical review of it and we believe it’s reasonable to expect the renewal in 2012. With our announcement of the confirmation of our UIC permit being in timely renewal by NMED, we of course had a reaction. Eastern Navajo Diné Against Uranium Mining, commonly known in New Mexico as ENDAUM filed a claim back in July that the NMED had misinterpreted it’s own regulations governing ground water discharge permits in the timely renewal process. We’ve intervened in the case. As of now a motion for summary judgment is scheduled for March 8 and a motion on a preliminary injunction on April 2. With regard to legislative and administration we’ve added to in New Mexico, contrary to popular belief, we believe the attitude towards mining in New Mexico is improving in the State Legislature and our relations with the Navajo nations are strengthening as well. We’ve been particularly impressed with the new government and her approach to resource development and bringing jobs to New Mexico. I’m going to move towards our corporate development activities. We’ve been pursuing a variety of acquisition prospects or joint ventures, as we believe that consolidation in New Mexico can unlock the value of the measurable uranium assets the state holds and we believe we can be a leader in this effort. Nonetheless these efforts take time and given the market conditions in Fukushima, valuations have been a challenge relative to some unchanged expectations I’ll say. Our strategy regarding acquisition is quite simple. We will not acquire assets just for the sake of doing a deal, but we will do so when the acquired assets enhance our present position. I’d like to pause for a second and turn things over to Tom Ehrlich, our CFO, for a few comments on liquidity and on our financial. Tom.
Tom Ehrlich: Thank you Don. I just want to take a little time to go over briefly the financial statements and operations for the quarter and a little bit about our liquidity and where we expect to go from here. Our cash at the end of the quarter was about $5.4 million; that was down about $2.8 million from where we were on June 30. Half the money of that was reclassified between cash and put into investment, into our certificates of deposit as a collateral to support our financial surety requirements, so our net operating cash grown was about $2.3 million and on a monthly basis equated to about $770,000 per month. Our receivables were up almost $250,000. That resulted from the Los Finados, Cameco joint venture, whereby we extend the capital to do the exploratory drilling and Cameco reimburses the States on the next month basis. Moving over to our statement of operations, the biggest failure that we look at on a real close basis is our corporate expenses. Our overall corporate expenses quarter-over-quarter from last year to this year actually went down by $1 million. The biggest piece of that was the lack of rebooking of provision for legal settlement that was incurred in the third quarter of 2010. That was offset by about $350,000, increased G&A expenses that we incurred this quarter compared to the same quarter last year. Those increases in general and administrative expenses were related primarily to legal and outside consulting costs. The legal costs were extended to support attempts in mediation and settlement of our Kleberg County litigation; legal work that was performed in connection with potential consolidation in New Mexico and the consulting fees were incurred and related mostly to the work undertaken related to the Churchrock feasibility study. One of the other exciting things that we were able to accomplish very recently was the agreement with BTIG, LLC, where we entered into an after market sales agreement that was signed on October 28. The ATM will provide us a low cost and highly flexible financing tool that we think we can use as needed for our near term requirements. It allows us to set the prices; the sales of our shares would be at the market, no discounts to market as they are typically seen in certain equity deals. We can offer and sell shares of our common stock up to $5 million, again at times and at our discretion. Some of the proceeds or some of the uses that we’ll see for these is to continue to fund our feasibility studies, including the acceleration of potentially engineering efforts and additional staffing to potentially bring the project into fruition as quickly as possible; to finance potentially some of the strategic initiatives that Don had mentioned. And also as Don said, we are looking to bring them to a – to clean up the holding ponds in Texas, which could cost as much as $2 million, but the proceeds from the uranium that would be a coverage for that would look to offset that for a net neutral position overall, related to the cash expanded on that project. But again, the cash would be necessary upfront to perform those activities. Again, just a brief summary of our financials and our liquidity and again, the ATM program that we now have in place. Don.
Don Ewigleben: I think now will be a good time to open it up for Q&A.
Operator: Thank you. (Operator Instructions). Our first question is coming from David Snow of Energy Equities Inc.
David Snow - Energy Equities Inc.: Good morning.
Don Ewigleben: Good morning David.
David Snow - Energy Equities Inc.: On the macro, you mentioned that GAO is pressuring DOE, which will update its plans. What kind of pressure were they bringing and when do you think the plans will be updated?
Don Ewigleben: The specifics of that GAO report if you haven’t seen it are rather interesting, because first and foremost they had some difficulty with the bartering process that DOE has been using. In fact they are saying that it’s illegal, and of course it circumvents the funds that are received from that ACU material, going into the general coffers of the US government and then they are bypassing the normal appropriations process. So that starts a question about how the whole process goes. And then the next point is whether or not they met the obligations that they set out, so that they wouldn’t impact industry in general. We don’t believe that they have. As far as the GAOs activities and after being considered inside the Department of Energy first and see if there will be an administrative response and then if there isn’t, there may need to be a congressional response and the industry is prepped for some discussion with DOE on that. As for the specific timing, I’m going to turn it to Mark Pelizza, who is the Senior Vice President of Environment Safety Health and Public Affairs.
Mark Pelizza: The Uranium Producers of America is very active on monitoring this matter. We believe that over the course of the next year, the DOE will have to revisit it’s management plan and we think that there will be some revisions that place further restrictions on the ability to liquidate the materials.
David Snow - Energy Equities Inc.: Okay. And I’m wondering you also mentioned the sort of guidance and lowerings and I’m wondering which projects and guidances are you looking at that are being delayed over the next year.
Don Ewigleben: We don’t have any specifics David to look at, so we can factor into particular models at this point. I think there are as you all know some people who spend quite a bit of time doing that and we’ve have been reviewing some of those documents that have just been out there before it. The point is we know we are headed for construction on our projects, but we also know that some of our brethren, certainly in the US and in other parts of world are struggling to get to that point. They didn’t make the permit schedules they thought they were going to do. They didn’t have the capital necessary to move forward in exploration development and certainly construction. We think that there will be quite a bit of pressure in Africa and frankly there are lowered grades being suggested out of some of these properties that what we previously expected. So when you combine that with the concerns that normally happen in the mining cycle, where prices have caused people to either build or not build projects, we believe that that pressures is going to eventually hit, but we want to time that appropriately. Our construction for 2012 and production in 2013 and that won’t be a full years production of course, is certainly as quickly as we can bring this on efficiently and that’s why we’ve taken so long in our feasibility study to ensure that we’ve got the proper scenarios with you to determine. We are looking at, in our feasibility study the marketing impact of increased or decreased production and what benefits or harm that might bring to our project overall. Because we know we are going to be a low cost producer in the ISR facilities in New Mexico. We want to take advantage of that position, but we also want to able to optimize the projects to bring a maximum rate of return for shareholders.
David Snow - Energy Equities Inc.: The feasibility study will look at your own impact or the industry’s impact of increased of decreased production.
Don Ewigleben: We are considering the external impacts of including whether or not there will be an increase in production as previously stated in lot of the reports or in fact will it be a lesser number and what would that do to potential pricing. And remember David, because you know more than half of our asset base in New Mexico is conventional and we are looking at the opportunities in the same feasibility study for how best to bring our conventional properties forward, it has even a greater impact there. If it takes more time for the conventional properties to come online, that will improve the overall position and may be allow us to get into conventional sooner in our pipeline of production. However, we are counting on hitting through Crownpoint up and running in 2013, take advantage of what we think will be an initial increased buy and then if the prices do increase overtime because of a change in what the expectations were for production and therefore purchase of uranium, we believe we’ll be well suited to bring forward our conventional properties on the tail end of our ISR.
David Snow - Energy Equities Inc.: Okay and you had said that there was some interesting senses in your drilling in Texas. Have you got roll fronts that you just hit by random luck with the wide spaced regular grid of holes?
Don Ewigleben: It’s too early for us to draw those kinds of conclusions. We haven’t even finished Phase I and as you with this phasing that we’re using, we are trying to zero in on strong fields in the future and more over it is a joint venture arrangement and I’m not in a position that I could discuss specific findings to-date, because that takes a joint venture decision and I’m not trying to split the issue. We do want to talk about Los Finados, but remember, in a phase I where you’ve got you know a mild spacing of your drill hole, you are trying to zero in on various locations. The sandy soil conditions are something that we are overcoming with every drill hole and we are pleased to see that. Depths are averaging as we said about 1,300 feet, but we’ve seen some greater depths, we’ve seen some shorter depths, but right not it’s a matter of trying to determine who best to take Phase II forward and then we’ll know what kind of role fronts are going to be available.
David Snow - Energy Equities Inc.: And I’m wondering if you can tell us how many holes where you trying to have drilled when you actually got 16.
Don Ewigleben: Well the fact of the matter is we are going to add more than 16 before this program is over, because we will reach that $900,000 of our $1 million budget, so we are going to add more holes. But the original estimates vary and it was important because at the outset of Phase I drills were hard to get and drillers were hard to get and particularly drillers who would meet fairly stringent standards for what we had in mind between the joint venture partners. So we have improved our cost profile over time, in part because more drills were available and certain drillers became available. We did switch drillers. I’m not at liberty to talk about the specifics, but we switched drillers over time, so that we had a better chance working in this new type of setting if you will. And I do have Rick available if there’s a more specific question, but we are somewhat limited as to what we can speak to, so I couldn’t tell you exactly what these projected number of holes are, but I am at liberty to say we’ve produced 16 so far and we expect a few more before we depleted the first million dollar budget.
David Snow - Energy Equities Inc.: And is money for the holding funds in 2012 going to be offset with any revenues immediately or how soon will it be before you start getting revenues out of that.
Don Ewigleben: Well, I am going to let Rick speak to that, because he’s put the project proposal together. It is about a $2 million expense, which we believe will all be covered, but Rick if you can speak to David’s question about how quickly you will be being to recover that is sale.
Rick Van Horn: The project will take approximately 10 months to complete. Will see our first sale or production and then second we can send a converter in month seven. So we will have that working capital amount here to keep this project going of approximately $1.5 million to $2 million before we see our first sale.
David Snow - Energy Equities Inc.: Okay and then how long will it take to get the full sales.
Rick Van Horn: That would be about 10 months David.
David Snow - Energy Equities Inc.: After 10 months you will have the whole sales completed?
Rick Van Horn: Yes that’s correct.
David Snow - Energy Equities Inc.: Okay, so after 10 months you will really break even on this.
Rick Van Horn: Yes, but we require – some of the uranium we’ll leave it there and it’s a sales price of the shelf, that’s correct.
David Snow - Energy Equities Inc.: So you are actually…
Deborah Pawlowski: David, I’m sorry. I need you to get back in queue. We’ve got plenty of other questions.
David Snow - Energy Equities Inc.: Yes.
Deborah Pawlowski: Jackie, the next question on line. Operator Thank you. Your next question is coming from David Talbot of Dundee Capital Markets.
David Talbot - Dundee Capital Markets: Good morning all. I have a couple of questions about liquidity and then I just want to follow up with a focus questions. You did talk about a debt facility; how far in advance to production would you be considering to set something like this up and you did mention equity, but you didn’t mentioned anything about off takes. You have some sort of alternative financing plan like that would see you selling forward.
Don Ewigleben: David we have considered all three of those options and we’ll continue to do so. Generally speaking, we would avoid a debt facility simply because we had expectations pre Fukushima, that we would be able to use equity or some other form. As you all know, we are very, very pleased to be involved with a joint venture with Cameco in Texas and we have looked at opportunities that have for having joint ventures in New Mexico. Those joint ventures typical would have an off take agreement and while I have no liberty to take about specifics, obviously with the project that’s coming on in the foreseeable future and the large scale assets that we have in the Mexico region, we have certainly had people approach us about such off take agreements. In the past we’ve been reluctant to consider those until we were certain that there wasn’t an equity opportunity or a partial equity opportunity or some other arrangement, including a debt facility and the debt facility in our mind means we would have some form of an off take agreement with someone, so that we can mange the debt appropriately. The good news for us is with a plus 15 year project, at 3 million pounds per year, would that assume there’s no additional ISR acquisition or explanation activity to increase that mine life, you can look at a debt facility and make it work in terms of rate of return and get the kind of numbers that we need. That is part and parcel to our feasibility study. We will look at all three options; but I will say to you that I’m most interested in joint ventures with off take agreements, if they take into consideration that $63 at present our last week price for long term is insufficient. We would not be doing justice to our shareholders if we put in place a long term contract setting at those kind of dollars, because we are confident that we are going to see an increased price after 2013, certainly once we are up and running. So we will be very carefully as to how we consider each of these three options if you want to lump into that category of equity, joint venture with off take agreement and a debt facility with potential off take agreement.
David Talbot - Dundee Capital Markets: Okay, but in the mean time if you are looking at production, you know potently in 2012, well maybe early 2013, you would likely have to be delivering on the spot market at that point.
Don Ewigleben: Yes, and let me just be clear, we’ll actually be in construction in 2012, we won’t be in production till the latter half of 2013. But if it was at that point that we still were looking at a $63 long-term price, we would have to look at sport price and certainly a portion of that early production would be at sport. Because we have no present arrangement with any entity, we’ll begin those marketing discussions, and while we sort of created the opportunity for those marketing discussions in a variety of locations, we were not in any great hurry to include an off take agreement in a long term price today.
David Talbot - Dundee Capital Markets: Okay. Now as far as funds that might be held up in bonding in Texas, is there anything that’s going to come back to you as your rounds of declamation are completed.
Don Ewigleben: Because of the stability period of time that then included in the regulations the recent years, it actually is a flow of process to get it back. Will we eventually get those dollars back, yes; but we are not going to have them in the near term future, meaning in the next two years, because of that stability period. So we are not contemplating those dollars as part of our capital necessary to build, neither of our two districts to build the Churchrock Crownpoint project in New Mexico or to get back to production in Texas. We will look forward to that as part of a long term model in either locations, but for now it’s a matter that we will need to raise the necessarily capital to acquire new properties in Texas, such as we did in the Los Finados setting or to continue to add to our asset basket in New Mexico.
David Talbot - Dundee Capital Markets: Okay and then I just had one final question about sort of corporate focus. Your presentation start with Texas; you guys talk about exploration in Texas, the Cameco JV property acquisitions. During this call earlier you mentioned that you’ve got no plans to return the production in Texas unless we see higher uranium prices. Now on the flip side, in New Mexico you have a pathway to production at Churchrock and then you’ve got with significant visibility. I guess a little less visibility with your conventional resources there, but you know just where is your head at as a company. How do you focus on one project or what sort of focus are you giving on your pipeline.
Don Ewigleben: Certainly and it’s a very good question David. We have to stay focused on the most important activity for this company, that is give to production. That means Churchrock Crownpoint. That means get this feasibility study done; at the necessarily capital start the construction in 2012 and get into production in 2013. There is no higher priority than getting to production in New Mexico. However you are aware that we have certain contractual arrangements on both short term and long term pricing in assets other than Los Finados in our Texas setting. So its difficult to say today we’ll go back into production at this price, because what’s left of that original 9 million pound asset, not including Los Finados, has been depleted over 8 million pounds worth in the 20 years of operation. So what’s let is not particularly low hanging fruit resource. With that said, it is not a good idea to waste what sits there in South Texas. You have two processing facilities available for immediate activity. This is even if we get the 12 million arrangement down the road, because we have great success at Los Finados we have capacity. So we have two fully permitted facilities. To sort of move away from Texas made no sense. We also have a great relationship with the community and with the regulatory authorities in the Sate of Texas, in what is arguably one of the best places in the world to do business, with the combination of 30 to 35 people who have been doing this for a long time in that area, it’s a human asset that we don’t want to miss. And then that last priority, you have to look at conventional assets way further ahead of time than any of our ISR. We stated this before. There are in this discreet system, a number of junior mining companies, all expecting to build a mill. We know that the capital is not available for multiple mills, at $250 million to $300 million to build a mill for conventional facility. So they will have to be some form of consolidation. So our third priority is to review our own conventional assets and ask the question, what is it that’s out there that might make sense from a joint venture, from a acquisition, from whatever standpoint, to enhance our conventional talent and bring them to production sooner, because we increase grade and we increase profitability or we improve our positions in the permit line; meaning, we have been so focused and we’ll continue to stay that way on our ISR projects, that we have not moved as swiftly as some of the other companies on the permit front for conventional. So we only look at those relationships in the context of enhancing the existing 101.4 million pounds. Beyond that, as you know have 182,000 acres in that district; untapped resource that we have to get to an exploration phase when we have the necessarily capital to do it and we are right now only doing exploration to fulfill our own needs for the feasibility study. So last year when we did our small exploration in-field drilling program, it was to ensure ISR met ability as opposed to going out and finding new areas of ISR. Lastly and still part of that same third priority, we know there are some people who have ISR assets in that region, that are unlikely to be able to permit and build a processing facility for ISR, so it makes sense that we have open arms for all discussions with any owner of ISR, of medical assets is that district. That means we have to have some understanding of capacity, capability for that Churchrock Crownpoint facility, in the event that we decide its going to be something more than 45 million pounds, because of some form of joint venture, acquisition or toll mill. That answer you question?
David Talbot - Dundee Capital Markets: Yes. More than answered my question and really no surprises there, so thank you for that.
Don Ewigleben: Okay, thanks David.
Operator: Thank you (Operator Instructions) Our next question is coming from Kurt Churdavis (ph), a Private Investor.
Kurt Churdavis (ph) - Private Investor: Good morning gentlemen.
Don Ewigleben: Good morning Kurt.
Kurt Churdavis (ph) - Private Investor: I was on the last conference call you guys had and I guess a couple of questions, I’ll keep them short, is we keep talking about 100 million pounds, more acquisitions; do you fell at some point that we are kind of putting the cart in front of a horse and by acquiring more things and doing more test holds that we get to a point where we take more debt, we take on more partners and we don’t get to the point where we get to production. We are giving away the firm.
Don Ewigleben: Kurt we don’t feel that way at all, in fact just the opposite. Knowing that we are headed for construction and then production in New Mexico, we know that we will have the capability as a result of sales to do the necessary acquisitions and/or exploration in New Mexico. We are not doing it today and the only reason that we would be doing acquisition is as I mentioned earlier, to enhance the specific assets that we have today. And we may have mentioned this before and in prior calls, but let me just zero in on a specific point. You are probably aware from our presentations that we have six shafts, in our conventional areas, many of our competitors do not. So if we can enhance our asset position on a conventional property, by utilizing our shafts and obtaining or joint venturing with them, because they might have a higher grade or less depth or a more feasible property that will improve the likelihood of production from our conventional, we have to consider that now and the reason we are doing it now is we’re in this feasibility phase. We are spending the $1.3 million, we are actually under budget, we are on schedule, for the feasibility study, to go beyond the question of how quickly can we get to production at Churchrock Crownpoint. We are asking ourselves these questions, because conventional properties take much, much longer to get to production. So we have to be five years ahead of our plans for each of these conventional assets. I understand your point and every shareholder in URI should be asking management the same question, how soon the production. Because they have been very benevolent in waiting on the New Mexico setting as we waited through the litigation. Now that we are beyond it, we have the necessary permits and licenses to go forward, we have to get the job done right. That feasibility study will get us there, we will be in production in 2013 and we won’t be doing anything from an acquisition standpoint, unless it enhances the existing assets for a grater rate of return for shareholders.
Kurt Churdavis (ph) - Private Investor: We also talk about consolidation in the industry; you know we are seeing Cameco and other companies that are trying to buy other smaller drilling companies. Do you feel that the partnership with Cameco or the million pounds that you are sitting on and all these other things that you’ve talked about, does that not make us a likely candidate for acquisitions, consolidation, what do you see. Did anybody approach you? You know sometimes the old farms are worth more money than its pieces.
Don Ewigleben: Well, we always have to have that in the back of our minds, and more than that as part of our strategic plan we’ve addressed that question by asking if we were approached by our own traditional responsibilities we of course have to consider any approach and we take it to the board of directors and then the shareholders if it has viability. What we also have to ask, have we done for our shareholders what we should be doing? And Fukushima did change valuation of pounds in the ground. But in the unpermitted, infrastructured pounds in the ground, we see them as being $3 to $5 per pound, we should have a market cap of $300 million to 500 million. We do not and we know why. We have to get the production. So when we are in production we probably will become a stronger target, but we are a target today, no question, and we would approach every discussion in a manner that meet our fiduciary responsibility, but keeps in mind that we need to bring value to shareholders. So as we move forward in our construction, in the operation projects, we will bring value, that brings to the shareholders a higher degree of value than if we were taken out today. While I’m not at liberty to say because of things of what confidential agreements and that nature whether we’ve been approached, I can certainly tell you at this point we are not in a discussion for anybody to take us out and I think I can tell you why, its only my guess. But if you think about we are the largest player in that district and there are a lot of small companies, a larger uranium company would likely be waiting to say, what can be done in that acquisition on a very targeted basis before they set into the district. Because with a larger uranium company or a multi mineral mining company for that matter, because we’ve seen some of them sticking up uranium assets recently; if they step into that district the prices will sky rocket. That’s good for us and our shareholders, unless we need to acquire a particular piece of prosperity. So we are very carefully watching what might be happening with the deal in the after basket; any of the other deals, the monster deal in Australia and we are trying to compare how we fit, but we can’t loose focus. The management of this company as its number one priority, get to production.
Kurt Churdavis (ph) - Private Investor: All right, I agree and I appreciate that. You know as a stockholder I’m just concerted you know and talk about the ATM that’s been set up or the financing for the further test holes and things like that. I mean that’s how you delivered the course to its current stockholders. I think that’s probably better than going to the open makers for financing. So you know just trying to get bearings on what’s going to happen in the future. I realized 2013 is a very important date for all of us that are involved in this and we are with you and hope you hit the targets.
Don Ewigleben: Thank you Kurt and rest assure, we will do anything in the capital markets without understanding its impact to our existing shareholders. So to the extent that we can keep this company moving forward in the least dilutive manner, we will do so. I will tell you that the ATM process years ago didn’t seem to have the same level of benefits that it does today and so we took a hard look at whether or not this would deal with what I call short term financing issues at a cheaper price, and it did. Therefore it’s less dilutive to the shareholders, but we do not take likely where we stand with our existing shareholders. Part of that is because many of our shareholders have been with us more than 10 years and they want to see that production. They want to see Churchrock Crownpoint up and running. Thanks Kurt.
Operator: Thank you. We have a follow up question coming from David Snow, Energy Equities Incorporated.
David Snow - Energy Equities: Yes, hi. I was just trying to remember where I was. How many pounds do you have left in Texas after 18 million were depleted?
Don Ewigleben: About 8 million were depleted David and we have a little less than a million left. Because we’re a lot more than 8 million of that original 9 million pound asset with 8 million that was depleted. What probably left is on the order of 650,000 to 750, 000 pounds recoverable and I will turn your attention back to 2008 when we were at about $47 a pound and 2009 when we were about $43 a pound before we shut it down. As you know we have short term and long-term contracts there. I would like to see some movement in the relationship that we have there and we are certainly hoping to have an arrangement that improves the opportunity to get back to production in Texas from that last call it three quarters of a million pound that’s left. But we also have some opportunity there. Unfortunately this isn’t the right time to be spending money. As someone has pointed out, we need to stay focused. Let me explain; there are some lands that we have under our permits, but we don’t have land control. There are some areas that we have land control, but we are not committed. And for an additional estimated amount of $8 million to $10 million investment, we can bring in some additional pounds that would still be covered by our existing short term and long-term contracts. We have not done so, because we would like to have a renegotiation of those contracts first and then we want to make certain that we don’t loose focus on New Mexico by coming back to production from what I have described as the lesser hanging fruit asset base.
David Snow - Energy Equities: Okay and how much are you going to have to spend in ‘13 to – I mean through ‘12 to get yourself ramped for production in ‘13.
Don Ewigleben: Well, as we probably stated, our conceptual studies in the past have suggested $30 million to $50 million to build Churchrock Crownpoint at the processing facility. Based on what we know today, it certainly likely to be closer to the 50 than the 30 and that’s because of the increased cost of steel and all the material, labor generally, cost of fuel, etcetera. But we won’t know specifically until we’ve completed this feasibility study. Should we do it then in 1Q to have further information available to the public and to our shareholders about our expectations following the completion of the feasibility study? But part of this is also a question of if you are going to consider any other ISR assets that are out there, being toll mill or acquired or joint ventured in that district, what is the optimum capacity for that project. So we might increase the cost of the overall project if we believe that the greater likelihood than not, we’ll be able to bring in additional ISR assets and I can tell you right now, we were pretty confident that we will, simply because we still own a great deal of acreage and untapped exploration potential, but also because there are people in that area that have lesser properties, that its unlikely they will try to build their own process facility and so we want to talk to them about as I said joint venture relationships, acquisitions, land swaps, whatever it may take to insure that we maximize the capacity for Churchrock Crownpoint, that will also going to tell us what that cost is going to be ultimately.
David Snow - Energy Equities: Did you mention 45 million pounds that you are going to be permitting for, that you are going to be building that 50 million of project for.
Don Ewigleben: Yes, the conceptual studies were based on approximately 45 million pounds for that district area that we own. That would not include anything we bring in. So it could be that we would need to increase that from 45, could be 50, could be 55, too early to say. But the point is, you want able to assure that your facility could handle the additional capacity and whether or not it has to be done now, vis-à-vis existing construction costs or it could be done in baby steps over the course of a 15 year plus mine life and that’s what we get, when we get to detailed engineering questions after feasibility.
David Snow - Energy Equities: 45 million pounds is just the ISR.
Don Ewigleben: Correct.
David Snow - Energy Equities: But you only have 6.5 that you are going to initially be permitting. So aren’t you going to phase your ISR project up in any case?
Don Ewigleben: Well we are. As you know that license encompasses $27 million of that $45 million. We have additional permitting activities that we’ll do in years to come to bring in the rest, but we are concentrating on Section 8 to get started and that’s simply because the way the license is arranged, that’s where we must start. If we are going to seek to do anything outside of Section 8 before, it would require an amendment and frankly right now, there is no particular technical reason to do that. So we’ll stay with Section 8 as a starting point and increase the overall capacity of that facility by permitting in those additional pounds in that 45 million and or anything that we acquire, joint venture, swapped for or have as a toll mill.
David Snow - Energy Equities: But the swapping of various horse-trading could occur in the coming year.
Don Ewigleben: Well, I would have to say that we are very conscious of the question with purchase rate, not to the extent that we would somehow loose focus on getting this filled, but to the extent that there is an opportunity and there certainly is. Without question, after Fukushima, pounds in the ground are cheaper, but we have to do our best review now to say whether or now we can enhance our existing asset base with some of those other assets, but we are also very opened to joint venture arrangements. So it could be that there’s some other business model that would work other than acquisitions, that will maximize our production capability to take in any additional ISR assets, because we just don’t think anybody else is likely to build an ISR facility in that district.
David Snow - Energy Equities: And this court action, do you expect a motion. You are asking for the motion to be removed in March 8 and the preliminary injunction would otherwise happen in April 2, is that the time?
Don Ewigleben: It is, but frankly, we believe that the renewal process would be completed or nearly completed, which likely could move the legal challenge, that’s pure supposition, but we are prepared to go to the math on all legal matters, because this particular questions as to whether or not NMED has interpreted their own autonomy and regular process is something that’s not just important to us. Its important to every ISR property in the United States, because it’s kind of renewal as a concept in all of the regulations, particularly in agreement states, but in a case where you have NMED having the Clean Water Act authority. We believe in the strength of acquisition will support it and yes, we think we would prevail in some re-juggling but it might be mooted simply by the fact that the renewal process will already have been completed.
David Snow - Energy Equities: So that’s a potential critical path item that could prevent you actually starting construction if it didn’t happen that way.
Don Ewigleben: No, that’s actually not true. Remember that this is the renewal of the existing UIC permit. So we have the UCI permit in hand today, but every one of these permits requires a renewal period over time. We wanted it to be renewed before we begin construction, so that we have a complete open view for how we go forward. But if we are renewing it as we are in production, that’s still not a particular problem, because we can construct today.
David Snow - Energy Equities: But it will be difficult to finance with that over hanging, wouldn’t it?
Don Ewigleben: Honestly in don’t believe so, simply because it is a legal permit today. We have all that we need, but we are in the renewal process, call it ahead of the game, because we weren’t prepared to do so and we didn’t functionally change anything from the prior permits that would have caused a re-opening of a hearing of anything of that nature.
David Snow - Energy Equities: So the heavily lifting of your capital will come in this, starting may be the second quarter of ‘12.
Don Ewigleben: 1 and 2Q; we are targeting 1 or 2Q depending upon market conditions, the completion of our feasibility study and any other detailed engineering that’s necessarily to bring it to bankable status and generally speaking, what happens in market place for people who are out there buying uranium. We also believe that 2012 will be a year of year of new discussion for the utility industry and for energy consortiums that are out there buying. The closer we get to production, the more conversation will be had about long-term relation.
David Snow - Energy Equities: Okay, thank you very much.
Don Ewigleben: Thank you David.
Operator: Thank you. There are no further questions at this time. I’d like to hand the floor back over to Don Ewigleben for any closing remarks.
Don Ewigleben: Thanks Jackie, and you’ve done a wonderful job with my terrible surname. We continue to believe in the long-term future of the nuclear industry, no question about it; and the need for development of more uranium projects exists, specifically in the US, to address the domestic requirements that are here. We do remain focused on our strategy to advance New Mexico assets to productions and grow our asset base in New Mexico, enhance it or in Texas to get back to production. We always appreciate you taking the time to listen to our conversations, but you know you can contact the advisors at any given time, Debbie Pawlowski, or any of the individually of the management team and to the extent that its public information will be pleased to visit with you any time. With that, I appreciate your participation today and look forward to talking to you in the future. Thank you.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you all for your participation.